Catherine Mathis, Vice President, Corporate Communications: Thank you and good morning, everyone. Welcome to our earnings conference call. We have several members of our Senior Management Team here today to discuss our results with you. And they include Janet Robinson, our President and Chief Executive Officer. Leonard Forman our Executive Vice President and Chief Financial Officer. Scott Heekin-Canedy, President and General Manager of the New York Times, Martin Nisenholtz, Senior Vice President, Digital Operations, Jim Lessersohn, our Vice President of Finance and Corporate Development, Stu Stoller, our Vice President of Process Engineering and Corporate Controller and Tony Benten, our Vice President and Treasurer. Our discussion today will include forward-looking statements, and our actual results may differ from those predicted. The factors that may cause them to differ are outlined in our 2004 10-K and third quarter 10-Q. This presentation will also include a non-GAAP financial measure, and we've provided reconciliations for the most recently comparable GAAP measure in our earnings press release, which is available on our website, www.nytco.com. This conference call is being webcast, and an archive will be available on our web site, as will a transcript, an audio replay will also be available and the directions are in our press release. So with that let me turn the call over to Janet Robinson.
Janet Robinson, Chief Executive Officer, President: Thank you, Catherine and good morning. Today we reported fourth-quarter earnings per share of $0.45 based on GAAP compared with $0.75 in the same period in 2004. In the quarter, we had a charge of $0.15 per share related to the staff reductions we announced in September, and a $0.04 per share charge for the adoption of FAS B interpretation number 47 that relates primarily to the company's lease arrangements. The earnings guidance the company provided in December of $0.45 to $0.47 included an estimate for the staff reduction charge. It did not, however, include the effect of the accounting charge. Including the $0.04 for the accounting charge, earnings came in above the quarterly guidance. Our revenue results came in stronger than we had anticipated. In particular we had very strong performance at the New York Times Media Group where the "Times," the International Herald Tribune and NYTimes.com, all showed significant gains resulting in the group's ad revenues growing by nearly 8%. Generally, there was strength across the group, including some categories that had not done well earlier in the year, such as transportation and telecommunications. Categories that did particularly well in the quarter included financial services, which had strong gains from American Express, Zurich Financial Services and Fidelity. Corporate, which had significant new business, especially from the oil companies, and residential real estate, which saw more advertising as a result of greater inventories of homes to sell. Soft categories included entertainment, which declined as a result of soft box office holdover, and fewer dollars being spent for the sole purpose of qualifying for Oscar nominations. Pharmaceuticals, which had difficult comparisons to last year when Vioxx went off the market and other cox inhibitors stepped up their advertising. Two things were instrumental in helping the "Times" newspaper achieve its results. One was color, the other was new products. As you know during the quarter we increased our color printing capacity by 40%. And advertisers took advantage of it. In the quarter, color advertising made up 34% of the "Times" advertising revenues, up from 31% in the same period of 2004. In addition, we had two new issues of "Teen" manage, our rebranded Sunday supplements. They attracted many new advertisers as well as existing advertisers, particularly in the fashion and cosmetics categories. In total, the new and re-launched teen magazines added $10 million in revenues in 2005. New product development continues at the Times. One example that will launch shortly is "Play," The New York Times sports magazine, which is scheduled to appear four times this year. "Play" will enable us to provide national advertisers with an attractive, new audience of sports participants and enthusiasts. The Times continues to maintain its leadership position and market share, compared to other national newspapers, and to increase it compared magazine competitors. As a result of the investments that we have made throughout 2005, the international Herald Tribune's advertising revenues grew 33% in the quarter as it increased its market share. The New England media group had a difficult quarter. Advertising decreased 4% in the quarter as key categories such as automotive, home furnishings, travel, and department stores declined. The group continues to be affected by consolidation among important advertisers as well as sluggishness in the Massachusetts economy. As part of a comprehensive restructuring aimed at maximizing the potential and the deep market coverage of our New England properties, last month, we named two experienced newspaper executives to new posts. Mary Jacobis, a very talented leader who comes to us from Knight Ridder, will be responsible for the day-to-day operations of "The Globe" and the integration of its print digital operations. Rick Daniels, a 23-year veteran of "The Globe" will be responsible for enhancing the strategic initiatives and business development. At "The telegram" &"Gazette," the Globe's" direct mail subsidiary our joint venture with sports "Metro Boston" and our investment with "New England sports ventures." In addition Michael Zimbalist, who has been President of the Online Publishers Association, has been named to head our company's Research and Development operations. He will also oversee Boston.com. Product development is key to increasing revenues in New England. "The Globe" recently launched a redesigned automotive section and a new style section that will capitalize on the growth in fashion and luxury good advertising. It is expanding our, its weekly shopper to offer advertisers targeted saturation coverage of key suburban markets, and more changes are planned for later in the year. Our Regional Media Group's advertising revenues rose about 4%. New products such as weekly newspapers, magazines, and direct marketing contributed significantly to the improvement. Other revenues increased strongly driven by commercial printing. The company's overall circulation revenues decreased 2%. Trends varied across our properties, circulation revenues declined 1% at the "Times" media group and rose 2% at the Regional media group. At the New England media group circulation revenues decrease 7%, largely due to copy declines. We are focusing on the quality of circulation and on readership measurement at our newspapers. More and more, we find advertising, advertisers are placing greater value on the quality of the circulation and on total audience measurement. There are several circulation developments of note at the "Times." During the quarter, we began printing the "Times" in Toronto and in Houston. The "Times" plans to raise home delivery rates about 4% in New York and across the country, effective February 6. We expect this to result in revenues of about $7 million to $8 million later this year. Since we last raised home delivery rates in early 2002, we have significantly enhanced our coverage of the arts, travel, business, and real estate, and introduced new sections such as Thursday's "Style," Friday "Escape," and our key Sunday "Supplemental" magazine. As part of our efforts to strengthen the relationship between the "Times" and its readers, we recently announced the New Times Points Program, a free loyalty reward program that allows members to earn points for purchases at thousands of participating restaurants, hotels, and online retailers. Points can be redeemed to pay for a "Times" home delivery subscription, merchandise from "The New York Times" store, or gift cards from select advertisers. Since sponsors provide the discounts that allow participants to accumulate points, there is almost no cost to the "Times." And on the revenue side, we believe that this will help with reader retention and boost sales of "Times" photos, books, and other "Times" products. It is a great program. "Times select," our new fee-based product that includes our distinctive columnists an extensive access to the "Times" archives, continues to draw users and now has more than 390,000 subscribers, including online-only subscribers and home delivery subscribers who receive it free of charge, another way we reward our loyal readers. Our web sites and the New Media groups had very strong growth in advertising revenues, up 30% in the quarter, a particularly good showing given the large revenue base for this increase. We continue to be very pleased with the performance of About.com, which we acquired last March. It is consistently among the 10 most-visited sites in the US and is the largest web publisher of original content with 43 million average monthly unique visitors worldwide, up from 35 million when we acquired it last March. In the US alone, About.com averages 29 million unique visitors each month, up from 22 million last March. The improvement in visitors has translated into revenues. In the quarter, About.com's revenues climbed an estimated 51%. All three of its revenue streams, display advertising, cost-per-click advertising, and e-commerce showed strong growth. This was driven by higher rates, and increased spending from blue-chip advertisers. About.com continues to drive traffic to nytimes.com, Boston.com, and our other web sites. It also continues to cross market our sites, further promoting our brands, and extending our reach into readers' homes and offices. With About.com, nytimes.com, and Boston.com, we are able to offer over a million monthly page reviews to the marketplace. And because of About.com's strong performance in 2005, dilution was only a penny a share. This year we do not expect dilution from About.com. In total, our digital businesses generated $198 million in 2005, accounting for about 6% of the company's revenues. This included About.com, nytimes.com, Boston.com, the web sites of our regional and broadcast media groups, and our digital archives. In terms of unique visitors, we are the 10th largest entity on the Internet, a very important selling point with advertisers. As I mentioned before, we are very pleased that Michael Zimbalist is joining us with responsibility for both Boston.com and our research and development groups which will concentrate on new media ventures such as search, video, mobile technology, and eLearning. This is designed to expand our future distribution of our information products, and allow us to stay ahead of the technological and consumer curves in the years ahead. Revenues from our broadcast media group decreased 10% in the quarter, compared with the prior year when the group benefited from $7.5 million of political advertising. During the quarter, we completed our acquisition of KAU-TV in Oklahoma City, which created our first duopoly. Our ownership of KFOR and KAUT is providing us with operating efficiencies and is enabling us to offer our advertisers better ways to reach their audiences in this market. In 2006, we plan to focus on improving the margins of our businesses. By continuing to enhance existing products and to introduce new ones that serve our audiences and advertisers in print, on line, and through broadcast media. This year, we expect advertising revenues across our newspaper properties to be helped by increased rates while mid-term election, the Olympics, and the Super Bowl are expected to contribute to our broadcast media group's revenues. The very strong revenue growth of our internet properties is expected to continue. We plan to aggressively build out our content areas at all our web sites to provide our readers with more content and more features, and our advertisers with additional space with which to promote their brands and products. And while we expect to repossess of the changes we have made in our strength structure in 2005 we will remain disciplined on managing our cost. Let me turn the call over to Len.
Leonard Forman, Chief Financial Officer and Executive Vice President: Thanks, Janet. Total costs increased 12.6% in the quarter. Most the increase came from three items, staff reduction expenses, costs related to About.com, which we acquired in March, and stock-based compensation costs which were greater than in the previous two quarters because of the required acceleration of expensed rewards granted to retired eligible employees in December. Excluding these three items, total costs rose a modest 3.6%, and that was primarily because of higher distribution and outside printing expense, and increased promotion expense in support of our circulation initiatives and higher newsprint costs. Newsprint expense rose 9.1%, with 8% of the increase resulting from higher prices and 1.1% from higher consumption. During the quarter, we complete the conversion of successfully all of our newspapers to lighter weight newsprint as part of records to reduce newsprint costs. This year we expect to save between $3.5 million to $4 million as a result of this step. Excluding staff reduction, About.com, stock-based compensation, and raw materials and DNA non-raw materials caps cost rose 2.7% in the quarter. We are maintaining our focus on expense management in 2006, continuing the systematic review of all of our operations that we began in late 2004. Our goal is to improve efficiency in our operations, and redeploy our resources more effectively to achieve both revenue gains and cost reduction. Some examples of the initiatives that resulted from this review include the consolidation of our half dozen major data centers, the reallocation of work from the advertising sales area to administrative staff in order to increase time available to sell, and the increased utilization of our shared services center by shifting additional work to it from our business units with both net reductions if FTE’s and lower cost per FTE. This year we expect to save approximately $45 million as a result of these efforts. Slightly less than 1/3 is related to the two staff reduction programs we announced last year. At the end of 2005, our headcount was down 2.6% excluding acquisitions. On the same basis, we project another 1% decline by year end. After the completion we estimate total annualized savings from the staff reduction programs of $50 million to $70 million by 2007. The actual savings will depend on the final mix of seniority of the affected employees. We've also in the past instituted a number of changes in our benefit programs for lower costs, and we will continue to reduce costs related to our overall benefit programs. The impacts of these changes is expected to substantially reduce the rate of growth and benefit costs going forward to lower than the rate of inflation. Turning to CapEx under GAAP. The total amount of capital expenditures for our new headquarters for both the company and our development partner must be included on a consolidated basis in our financial statements. In the quarter, total capital expenditures were $75.1 million. Of this amount, our development partner's responsibility was $17.5 million. The balance of $57.6 million was the company's responsibility, including $28.1 million for our portion of the costs for our new headquarters. For the full year 2005, total capital expenditures were $228.7 million. Of this amount, our development partners' responsibility was $53.7 million. The balance of $175 million was the company's responsibility, including $87.1 million for our portion of the cost of the new building. We're committed to bringing this building in on time and on budget. The October issue of "The Harvard business review" included an article written by one of our senior managers, David Thurn, who is our Chief Information Officer, and will also lead the team responsible for designing and building our new headquarters. In it, he describes some of the steps we're taking to ensure we get the business benefits we're seeking in our new headquarters. Over the course of the past year, we did many things to better position us for 2006, both on the revenue and the cost side. As we begin a new year, we will continue to develop new products across our print, our broadcast, and our online platforms to grow the top line. Equally important, we're committed to improving our margins in 2006. And now we'd be happy to answer your questions.
Operator: If you'd like to ask a question today, please press ‘*’ ‘1’ on your touch-tone telephone at this time. Once again, star one to ask a question today. And we do remind you that if you're on a speaker phone, make sure your mute function is turned off to allow your signal to reach our equipment. Once again everyone ‘*’ ‘1’ to ask a question today, and we will pause for just a moment to give everyone a chance to signal. We go first to Craig Huber with Lehman Brothers.
Q - Craig Huber: Yes, good morning, thanks. Just two quick questions. One, on stock-based compensation 2006, should we assume $0.02 to $0.03 hit per quarter? I assume this acceleration have in the fourth quarter ‘05 is up repeat next year, in this new year is first question. And then secondly, this $35 million staff reduction charge is it, can you just break it up by the various divisions, this is my second question. Thanks.
A - Leonard Forman: Yeah, I'll take the stock question. It's going to fall the same way with a little larger in the fourth quarter because of the accounting related to the acceleration for people granted stock options who are of retirement age.
A - Janet Robinson: Craig, could you repeat the second question concerning the stock reduction charge?
Q - Craig Huber: Is that $35 million charge for staff reduction charge in the fourth quarter, we just finished, was that all buried in your newspaper line, since with that operating profit line, if there or was it broken out across the various sectors in corporate, thanks.
A - Leonard Forman: It's primarily in the newspaper profit line, Craig. The media groups, all three newspaper groups.
Q - Craig Huber: Okay. And is my final question, in your comment in your press release about a slower start to January, can you quantify that at all, if you would please. That's my final, thank you.
A - Scott Heekin-Canedy: This is Scott. We're seeing a weak start to January predominantly because of the studio category. The Oscar season is off to a quiet start. January also is the biggest month of the year for us for this category. But beyond that we're seeing relative strength across our base of business. So in some respects, January is similar to what we saw last year where we saw overall strength of business across a core of our base of business, and then one or two or three categories that had weaknesses that were pertaining to their individual business segments.
A - Leonard Forman: Going down January's a notoriously difficult month to predict historically. While we may be off to a slow start in January, we're reasonably optimistic given the way the year has finished.
Q - Craig Huber: Great. Thanks, guys.
Operator: We'll go next to Alexia Quadrani with Bear Stearns.
Q - Alexia Quadrani: Hi, good morning, thank you. Could you remind us what was, how much if you look at the 5% rate and rate increase, you expect in the New York Times and 3% in other papers, could you compare that to what you realized in 2005 on those properties. And my second question is, what type of falloff if any it all, would you expect in subscriptions for "The New York Times" with the home delivery rate increase?
A - Leonard Forman: We fully realized our rate increase last year which was on average 5%. And we've instituted a similar rate increase this year. Might remind you that we accelerated the color premium rate increase to be implemented effective October 1st last year, whereas last in 2005, it was effective January 1st and the second question?
Q - Alexia Quadrani: The impact on circulation, if any at all, from the home delivery rate increase.
A - Leonard Forman: We're not expecting a significant falloff. There are two or three reasons for this. One is that this is a very modest price increase relative to those we've done over the past several years. As Janet pointed out, there's quite a few number of value enhancements in the content of the newspaper that we've talked about over the last couple of years, and more to come with the introduction of "Play" magazine this year. The times point program as well as the introduction of time select as a value enhancement to subscribers, also strengthened the value proposition. We also think the rate increase of roughly 4% in light of the inflationary environment that we've been in, and the fact we haven't done a rate increase for four years now, the fairly well understood or recognized increases in newsprint and fuel, I think all those things taken together lead us to believe that we'll see only a very large falloff in volume.
A - Janet Robinson: Let's say this is Janet. Just to comment in regard to the regional newspaper and "The Globe" as well, they are in the 3% range in regard to the rate increase and they intend on realizing that as they did in 2005.
Q - Alexia Quadrani: Thank you. If I could just ask one more question. How does the 34% color advertising capacity in "The New York Times," how does that compare to your other properties, and where do you think that 34% can go?
A - Janet Robinson: It's about 37% in terms of ad revenues at the "The Globe"
Q - Alexia Quadrani: And I guess where is the ceiling for that, how much do you expect, I guess at the end of this time next year, where do you think that number could be?
A - Leonard Forman: Well, at the "Times," I would expect to see growth in the same order magnitude that we've seen last 2 or 3 years. We've seen increases in the quarter premium revenue between 20% and 25% consistently and we expect to realize that again in '06.
Q - Alexia Quadrani: Thank you.
Operator: And we'll take our next question from Paul Ginocchio with Deutsche Bank.
Q - Paul Ginocchio: Yes, hi, there, just three questions. First, on time select, could you break out what percentage are non-subscribers. Second for land on the pension deficit, I saw the cash payment you made. Can you talk about is the pension deficit at the end of '05 going to look materially different than the 358 at the end of '04 then finally for Scott. Movie category's been relatively disappointing, I guess over 18 months now. Is the relationship between, you know, wide releases and the amount of money you're getting breaking down? If so, what do you think the trends look like? Thanks.
A - Martin Nisenholtz: Paul, this is Martin. Approximately 40% are non-subscribers.
A - Janet Robinson: They're all subscribers. 40% are people, who are subscribing through the online, so they are paid subscribers. The remaining 60% are home delivery subscribers that receive this free of charge, just as a clarification.
Q - Paul Ginocchio: Thank you.
A - Leonard Forman: Paul, it's Len, very hard to make a prediction on where the Pension liabilities are going to be, only because it's dependent on where assets go and interest rates. Right now we're well over a billion dollars on our assets and depending on how the market performances are, our interest rates are, a conservative guess would be roughly the same order of magnitude. It could be a little less or it could be a little more depending on improvement in those for the changes in those two variables.
A - Martin Nisenholtz: With regard to the studio category, Paul, I'm not sure we've ever really drawn a strong relationship between the number of wide releases and our advertising results. There is a relationship, but there are many other considerations, most especially with quality of product, and whether the product is particularly well suited or fits for our audience. And the results in the fourth quarter last year really bring this point home. There were 14 more wide releases in the fourth quarter of '05 relative to '04, seven more in October, four more in November, three more in December. We had very, very robust growth in October. Close to 20% growth in that category and then we saw very significant declines, low double-digit declines in November and December in spite of the number of wide releases. And all of that has to do with the box office performance, quality of product, and just when the studios seem to be practicing, if the movie doesn't open well, they're not spending to support it. So the number of releases by itself is not a good indicator.
Q - Paul Ginocchio: May be just a follow up on that, Martin or Scott what percentage of your movie revenues now come through the website?
A - Martin Nisenholtz: I think it's a 5%, I believe. I don't know that. I can't find out that would be my ballpark guess.
Q - Paul Ginocchio: Great, thank you.
Operator: We'll go next to John Janedis with Banc of America Securities.
Q - John Janedis: Hi, thanks for taking my call. First, you mentioned display advertising for About.com in your prepared comments, what kind of rate increases are you putting through there relative to nytimes.com and Boston.com and are you using any inventory there to about to promote the subscriptions of the "Times" or elsewhere? Thank you.
A - Martin Nisenholtz: This is Martin. We've had significant rate increases this year with About.com. We've had, on average since we've acquired the business, about 20% across all of the inventory on the site, so that include both the display increases and increases in the price that Google revenue is accruing to the site. On display only, it's been close to 50%. So we've really exercised a great deal of rate leverage since we've acquired the business. On top of that, page views grew 20%. So not only have we grown rate, but we've grown volume, as well. And that's where you get to the fairly robust growth rates that we're talking about with this website. With respect to the other websites, of course there wasn't as much leverage there this year. But we have taken two increases at nytimes.com that account for about 15% RPM, total RPM rate increases, and at Boston.com, it's a similar number between 15% and 20%. So About.com is leading the way in terms of rate leverage but all of the websites are enjoying, you know, rate increases. We took two rate increases at nytimes.com this year.
Q - John Janedis: And on the cross promotion for subscriptions?
A - Martin Nisenholtz: Yeah. We have been cross promoting and we have been putting banner, we've been placing banner buys at About.com for the "Times" as well as placing general web advertising for about.com on nytimes.com, excess inventory. So we've been using both sites to cross promote not only the subscription side of the business, but also the website sides, as well.
Q - John Janedis: Have you been getting much on the subscription front?
A - Janet Robinson: I have that information. At the "Times," we have about 65,000, and at the "The Globe," we have about 10,000.
Q - John Janedis: Is that…..
A - Leonard Forman: That's in total. The 65,000 is total across all of the web sites. We don't break out individual websites.
A - Martin Nisenholtz: And by the way, I point out that that number is pretty close to consistently what we've been getting for some time on the website. So it's been a very efficient and low-cost source of subscriptions for the papers.
Q - John Janedis: Okay. Sorry Martin, one other question on that. How much increased inventory have you put up on the display side at about?
A - Martin Nisenholtz: It's not just display side, Paid views up overall increase 23% this year, so the total inventory for the website which of course includes both the Google positions as well as the display positions on a single page increased 23%. Now the rate on the Google side increased much less than the rate on the display side. We don't control the rate on the Google site. It increased around 18%. So the total inventory increased 23%. And that accounts for significant revenue growth.
Q - John Janedis: Okay. Got you. One quick question. I think this might be to Scott. But can you talk about the other revenue line in the publishing segment. I think fourth quarter was pretty well below trend line. What was driving that, should we expect that to continue, thank you.
A - Janet Robinson: I’m Sorry John. You're saying that other revenue line as
Q - John Janedis: Within the news media segment, think was down maybe around 10% or so for the quarter?
A - Janet Robinson: There were two things that was driving it. At the "New York Times," we shut down television production facility. We restructured that in the fourth quarter of 2004. So, therefore, the other revenues were not generated at the same level as they were in the prior year. With regard to at Boston, there were a couple things that went on. But mainly it was a lower level at Globe Specialty Products, which is our direct mail.
Q - John Janedis: Should that continue then for the first few quarters of '06?
A - Janet Robinson: Well, certainly what I would expect with regard to the "Times," that because the television production facility was shut down in 2004, at 2006 will look more like 2005 in terms of other revenues. With regard to the other revenue, I would expect we'd see some improvement.
Q - John Janedis: Thank you very much.
Operator: Our next question comes from Steven Barlow with Prudential Equity Group.
Q - Steven Barlow: Again an easy one first. Len, did the fiscal year end December 31 or December 25, is some of the other newspapers companies have?
A - Leonard Forman: It’s 25th for us and thank you for the softball.
Q - Steven Barlow: December 20th. The hard ball would be four days prior to that you did the guidance. What sort of change, so quickly the fourth end higher four days later just seemed a little peculiar.
A - Leonard Forman: You've had the last two weeks, and I think of the month, I think what it does is just illustrates how difficult it is in the short term to, to predict. We assumed that the steps towards look like December of last year. And instead, December came in extremely strong in the last couple of weeks, took everybody by surprise. And certainly on the you've had, the impact of the transit strike, which we really didn't have a clue as to how that might have affect us. And on the accounting side, that was really a change in accounting that occurred with the last-minute guidance that we hadn't counted on when we issued our release.
Q - Steven Barlow: Thanks. Could you tell us at this point what the top five employees of "The New York Times" company made in 2005 versus 2004.
A - Leonard Forman: I have to go back and look at the proxy. So you'll have to bear with us for a minute while we do that.
Q - Steven Barlow: Thanks.
A - Janet Robinson: I'm sorry, Steve. Are you talking about in 2004 or 2005?
Q - Steven Barlow: Five versus four, please.
A - Janet Robinson: We've not yet filed our proxy statement, but we would expect to do so, I believe sometime in February. And that numbers will be available then.
Q - Steven Barlow: The same time you've made accruals for that at this point in time.
A - Janet Robinson: Right. But we haven't publicly disclosed it.
Q - Steven Barlow: Okay. And lastly CapEx, if I did the math right, looks like it's going up on just sort of the core maintenance in '06 versus '05. Any particular projects?
A - Leonard Forman: We're projecting roughly in a $100 million to $150 million range for our CapEx, which is really where we started the year, every year. This year we have one big project, what we call our FAP project in which were essentially replacing systems at "The globe" and the "Times" on advertising and circulation. It's a three-year project that's beginning in '06. So that's certainly the single biggest item. Given our history over the years, I would expect us to come in on the non-building CapEx at the lower end of the range.
Q - Steven Barlow: Thanks very much.
Operator: And our next question comes from Frederick Searby with JP Morgan.
Q - Frederick Searby: Yeah, thank you. A couple questions. One, can you give us maybe I missed it. But on "The international herald tribune" what the losses were and give us some color on what your outlook is as you now have full control of the asset and what you think we should be looking for in 2006. And then secondly, if you could just give us some color and an update on the stake you took in the free publication, the status of that I believe an antitrust suit and how that business is progressing, as well. Thank you.
A - Janet Robinson: I'm sorry, Fred. Could you repeat the last question. We couldn't quite hear you.
Q - Frederick Searby: No, That's not good. If you could give on the free publication, the freebie you guys took a stake in the Boston area, how that's doing. And then what your thoughts are on that business. And then I believe there was an antitrust, some sort of issue that came up with that just any sort of color on that, as well.
A - Janet Robinson: Sure, Fred. This is Janet. The IHT had a very good year. They are steadily improving, and they are particularly improving in regard to advertising revenue. In the second quarter, third quarter and the fourth quarter, they were up 30% and 33% respectively. So for the year, they ended advertising up close to 17%. Their growth was predominantly in the luxury consumer goods area, but they did very well on travel, in financial services, and also in technology. So we are seeing some strong market share improvement, as well. Particularly against the business magazines and time, in fact. What we are seeing in regard to metro is very strong performance, particularly in the later part of the year. They had, I think their first million-dollar month, in fact, in the September timeframe. They are steadily increasing in regard to circulation. Their circulation, in fact, grew 10% in 2005. They are working very cooperatively with "The globe" staff in regard to selling display advertising, and of course classified is a very important part of their growth in the advertising arena, as well. With regard to the antitrust suite investigation that went on with metro Boston, basically that , we provided all the information, and there was no further inquiry on it. That was , that occurred, I think, sometime last Spring, Fred.
Q - Frederick Searby: Okay, thank you. Just a followup on IHT. I mean, it sounds like those are great metrics, Janet. But what were the actual losses, and where do you think you'll shake it out given the growth and, obviously, restructuring efforts there? I mean, will it end up be material?
A - Janet Robinson: Yeah. We don't break out the operating performance of the IHT separately. It's part of "The New York Times" media group. What we have done just to comment a little bit further in regard to the IHT is not only, you know, In a consistently improved the product which we have done for two years now, we have also cooperatively worked in regard to the sales efforts with the staff of "The New York Times," really in covering a lot of cooperative group buy that's have grown quite dramatically and particularly in 2005. We also should note that because of the strong performance on the European reader business survey and the Asian business readers' survey, that has helped our standing in regard to the advertising community with the IHT. We also have very strong efficiency and productivity moves, just as we have at our other newspaper properties, in place at the IHT, to improve their overall performance.
Q - Frederick Searby: Okay. Thank you.
Operator: And we go next to Karl Choi with Merrill Lynch.
Q - Karl Choi: Hi, couple of questions here. Just want to go back to the December numbers for a second. How much of the December strength do you think was due to advertisers fulfilling their contract for the year, and/or sort of releasing their contract or their budgets before the year end? And I'll stop for now.
A - Scott Heekin-Canedy: This is Scott. I wouldn't attribute our performance in December to those considerations. Throughout the year, I talked about the three or four categories that were offsetting our strengths in our base business. Telecom, travel, tax, and the aGATT business. Both travel and Telecom turned into the positive category in the fourth quarter and came on strong in December. Color came on strong for us because of the additional capacity. And the broad-based strength that we've been seeing all year just really came to ahead. We saw it begin in mid September. It carried through October, November, and in December. So I don't think we believe that spending out of budget was a consideration there. Real estate was a category that came on strong through the whole second half of last year. And that was a big factor in December, as well. And that's not a category where people are spending out there their budgets that you're suggesting.
Q - Karl Choi: Great. Second question is I wonder if you could update us on what impact you are seeing from the Fed rated main merger or what you're expecting. Thanks.
A - Scott Heekin-Canedy: The with regard to the "Times," the announcement that Lord and Taylor is up for sale is we see as a positive because remains to be seen what the ultimate disposition is. But we believe it to be a positive factor that suggests that Lord and Taylor will remain as a brand in the marketplace. And will continue to spend with us. The overall Federated strategy turning nameplate stores around the country into Macy's also placed to our strength as a national newspaper that is the only vehicle that is positioned to carry this kind of advertising.
A - Janet Robinson: In regard to the regional newspapers, they are not affected at all. In regard to Boston, with the closing of Filene's which will take place in the February timeframe, there will be an effect in regard to our reduction on revenues from Federated. That said, the location of Filene's at the downtown crossing is an ideal side for other retailers and, in fact, many retailers are interested are rumored to be very interested in that property. Such as Target, such as Nordstrom's, such as Ikea, as well. In addition, of course, there are Lord and Taylor stores in the Boston area, as well. I think that is very similar to what Scott said in regard to whether the nameplate, of course, will continue, who will buy them and the investments they will make in that marketplace. But in regard to the Filene's location, it will be very interesting to see what retailer does buy that location, and, indeed, take advantage of the traffic there.
Q - Karl Choi: Great. Just one last question. Could you update us on how big the entertainment was life studio I should say movie category is for the "Times" in 2005. Thanks.
A - Scott Heekin-Canedy: The studio category declined for the year in low single digits. Almost all of that decline came in the fourth quarter, which I've talked about. And at the end of the year the studio category is about 12%, 13% of our revenue base for 2005.
Q - Karl Choi: Great. Thank you.
Operator: And our next question comes from Douglas Arthur with Morgan Stanley.
Q - Douglas Arthur: Yeah. Two questions for Janet. I guess now for a couple of monthly ad reports, you've mentioned strength and help wanted in Boston, and that is a category that can really dominate that paper when it gets going. Are you is that encouraging you that maybe the trend in help wanted has turned there, or is it too Early to tell? Then I've got a followup on national circulation.
A - Janet Robinson: I think it's too early to tell, Doug. We are pleased with what we've seen in the performance of help wanted in Boston this year. The strength of what they've been able to really put in the marketplace with the brand called Boston Works has really worked nicely for them. And we are encouraged to see that, you know, continuing in 2006. But again, I think it's a little early for us to make that prediction.
Q - Douglas Arthur: Okay. And then there's been some discussion in the press about weakness in circulation. The "Times" sort of in the local markets, as you roll out these new print centers around the country, can you talk about the trends in your national, how you define national circulation, sort of out of New York, thanks.
A - Janet Robinson: Uh-huh. I'm going to allow Scott to answer that question in regard to the national growth. Let me just comment a little bit further in regard to the help wanted in Boston. One of the things that we've under taken in Boston is to make sure that we have diversified the categories more and more and more. At one time, Doug, help wanted was an unhealthy percentage, in fact, of what the ad revenues were in Boston. It was close to the 30% range. It is much lower now, and needless to say, the diversification particularly in the national categories in Boston really does help them in regard to creating much more of a balanced approach or a balanced commitment from all of the categories.
A - Scott Heekin-Canedy: With regard to the definition of our national circulation, all of the circulation outside of the 39 counties that make up our major metropolitan area add up to our national circulation. For the last several years, we've seen a steady, ongoing growth as a result of our national expansion strategy. The media coverage that, perhaps, you referred to with regard to our circulation trends in New York, those we've seen small declines over many years. But a large decline in the year 2003. And I think that in hindsight that may represent a delayed reaction some of the price increases we did in 2001 and 2002. But I'd like to draw the distinction that we talk about quite a bit in point of the distinction here between paid circulation as an indication of purchase behavior and then other audience measures such as readership as an indication of readership behavior, which is what is important to our advertisers. Over the past five years, our reader ship in the New York Metropolitan area has been stable, and a key demographic segments, the aflaunt segments it's been growing. So while we have seen declines on the paid behavior, the purchase behavior, it indicates to us that as people are changing their purchase habits, they're still reading the "Times." So I think for the "Times" in particular, you need to look at both the audience metric, the readership metrics, and our circulation results and keep in mind that's a net paid number that indicates purchase behavior.
A - Janet Robinson: Just to add a little bit to that. While post articles focused on shifts and circulation it notably admitted some important facts regarding "The New York Times" circulation. During the week, the "Times" outsells every other paper in Manhattan and in the NDM suburbs. And on Sunday which gives you more of a telling picture of where each paper's readers actually reside, the Manhattan circulation for the "Times" is twice that of "The Daily News" and three times that of "The post." The "Times" can claim its leading positions despite the aggressive pricing that certainly has gone on in this marketplace.
Q - Douglas Arthur: But just specifically outside of the 39 counties, are you seeing the kind of growth that you hope to see and you have often referred to 60,000, 75,000, and sort of request for the "Times" nationally, and are you beginning to fill those, that capacity with these new plans?
A - Leonard Forman: The volume of unfulfilled orders because we don't have the distribution capability. It remains relatively stable. At any given point in time, we have anywhere from 50,000 to 70,000 orders on file. Maybe half of those are within the last 12 months. At any point in time, 5,000 to 10,000 of those high priority in that we're actively working on trying to route those. As you may recall, about seven years ago we announced our intention to grow the daily national circulation by a quarter of a million and Sunday by over 300,000. We're seven years into that. And we're right on schedule. We've got at the end of last year, we are 69% of the way to the daily goal, 76% of the way to the Sunday goal.
A - Janet Robinson: It's also important to note that the copies out side of New York are more profitable than the copies inside the NBM, as well. So the deliberate move on our part to really increase the national circulation was in direct correlation to us increasing the profitability of the company, and certainly returning shareholder value.
Q - Douglas Arthur: Thanks.
Operator: We'll go next to Edward Atorino with Benchmark.
Q - Edward Atorino: Hi. I was going to ask a question on '06 costs. You mentioned savings of $45 million, and then a newsprint savings of $3 million. Is the $45 million includes the $3 million? Or is newsprint separate from the other savings you mentioned, Len?
A - Leonard Forman: Well, that's part of our process mapping effort.
Q - Edward Atorino: Okay, just wanted, didn't want to double count there.
A - Leonard Forman: We wouldn't want you to do that, Ed.
Q - Edward Atorino: I hate this to be a wise-guy question. But there's been some discussion, I believe even in your editorial pages, about the "Editorial" "Position" at the New York Times. Do any advertisers complain about that? Or is that an advertising issue at all?
A - Janet Robinson: No, it is not, Ed. It's amazing how much support we get from our advertisers in regard to the quality of the journalism, of course, that we represent in the industry. And in regard to the editorial positioning of the newspaper, they certainly are respectful of the voice, the clear voice that the editorial page has. It's also important to note that when indeed you're setting an agenda which our editorial page does, that many advertisers realize the importance of what the "Times" represents in regard to editorial opinion.
Q - Edward Atorino: Thank you very much.
Operator: Our next question comes from Christa Quarles with Thomas Weisel Partners.
Q - Christa Quarles: Couple of questions. First let’s about home delivery prices, I was wondering if you have plans to also alter a newsstand at some point, as well. I think, it's been a couple years. I remember, that was right since you have done that. And then online side the $198 million, obviously I can back out the About.com fairly easily. But it seems like a higher number than what I had been sort of calculating based on your gains that you described since you used to report “New York Times” Digital. So I was wondering, is that balance off of the 198 is comparable to your numbers that you used to report relative to "The New York Times" digital. Then finally, just if you have a new investment dollar today, you know, as you sort of prioritize across online, new print sites, color capacity, debt reduction, share repurchases, where would you prioritize that dollar to go? Thanks.
A - Scott Heekin-Canedy: This is Scott. We have no plans for a newsstand price increase.
Q - Christa Quarles: Okay.
A - Martin Nisenholtz: Regarding the $198 million -- this is Martin. It's not comparable to the old "New York Times" digital number because it's inclusive of the regional media group and broadcast media group numbers, as well.
Q - Christa Quarles: Great.
A - Leonard Forman: This is Len. I'd give you a simple answer, which is every investment we make is driven by return. And we look to go for the highest return investments. And that might be color capacity in one year, it might be a digital investment in another year. I think it's, at the end of the day, it's driven entirely by return. We obviously like our investments in color, as Scott has indicated. That's been a huge payoff. And certainly our investment in About.com has been a huge payoff, as well. I'd also point out that our investments in New England sports ventures have been a great investment for us. So, it's all at the end of the day driven by return.
Q - Christa Quarles: I guess what I'm trying to understand is the prioritization between growth perhaps and risk. You know, obviously you have to assess the risk in that return.
A - Leonard Forman: Well, again, I think, you know, risk is in the eyes of the beholder. Many people viewed our investment in About.com as a highly risky investment. We didn't. We believed that it was a business that would generate great growth for us. So we're obviously mindful of balancing risk versus investment. And that's captured in how we make our projections when we look at an investment. And the return that comes with it.
Q - Christa Quarles: Perfect. That's great. Thanks.
Operator: We'll go next to Debra Schwartz with Credit Suisse.
Q - Debra Schwartz: Thanks. Len, earlier you mentioned the transit strike. I was wondering can you give us a sense of how the transit strike in New York impacted both advertising and circulation in the quarter.
A - Leonard Forman: I'll let Scott answer that.
A - Scott Heekin-Canedy: In the end there was no measurable impact. I think what Len was referring to previously was the uncertainty of the impact as we were thinking about the guidance.
Q - Debra Schwartz: Okay. And then another question. On the regional media group, advertising slowed a bit in December. Do you see that trend continuing, or are you going to start cycling against department stores and Telecom throughout 2006?
A - Janet Robinson: We don't see, in January we're seeing the regional newspaper off to a solid start. There are categories that are performing very, very well, for them help wanted and real estate in particular. There is a little bit of softness in department stores, and some of the retail sectors, but in reality, other categories are more than making up for that. And it's very, very early in the year, you know, for us to judge how the year, of course, will progress. But as you know, the regional newspapers, the smaller market newspapers have performed very well in 2005. And we really see that continuing into 2006.
Q - Debra Schwartz: Great. Thank you.
Operator: We'll go next to Mike Kupinski with AG Edwards.
Q - Mike Kupinski: Well, thank you for taking the question. I was just wondering. In terms of the 5% ad rate hike that you with "The New York Times," I was wondering, if you see any pushback, especially in the local area, given that you've had weakness in local circulation. And then secondly, I believe, I had in my notes that you raised display rates at About.com at 80%. And I was wondering if I had the number wrong or if you didn't get the full effect of that rate increase. And secondly, in that presentation, I don't know that you mentioned what the rate increase might be for 2006. I was wondering if you can identify that.
A - Leonard Forman: The "Post" article or any other news coverage about circulation is always a reason to open a rate discussion in the eyes of some advertisers. But those discussions reflect what I've described as our view of the marketplace that our audience remains strong, and that’s growing in the key demographics that are important to our advertisers. And that circulation is a measure of some other things.
Q - Mike Kupinski: Okay.
A - Leonard Forman: With respect to the About.com, I'm not precisely sure where the 80% came from. It may have been a point in time. Let's distinguish between a CPM rate, which in some categories and in some instances has been raised significantly versus the total rate per page, which is the RPM rate that we've reported today. The RPM rate, again on the display side for the year, was 48%. So just to clarify that, that's rate per 1,000 pages delivered on CPM'S.
Q - Mike Kupinski: Okay. And did you have any plans for 2006?
A - Leonard Forman: Yeah. I mean, we continue to expect to see leverage both on rate and volume in 2006. You know, obviously don't want to be completely specific here, but I think there's significant room to run at about in both lines.
Q - Mike Kupinski: It's safe to say won't be at the rate you had last year?
A - Leonard Forman: I wouldn't suggest that at all. Because that might not be the right answer.
Q - Mike Kupinski: Okay. All right. Thank you.
Operator: And our next question is from Bob Willis with Willis Investment Counsel.
Q - Bob Willis: Thank you. My question regards, return on equity. Do you maintain, or do you currently have a formal ROE target or range over the next three to five years that you're looking to hit?
A - Leonard Forman: We set goals internally on a number of metrics including ROE, but we don't release that information publicly. It's one of a half a dozen metrics that we use in our planning budgeting.
Q - Bob Willis: This may be, you may not be able to answer this, as well. When I look over the last three, four, five years, ROE has been kind of in the low 20% range. Is that a reasonable guide to use, or might it differ materially from that?
A - Leonard Forman: Well, I think it's impacted from where our earnings have been over the last few years. And I think looking at ROIC, which is something that we pay considerable attention to, is an important metric to look at.
Q - Bob Willis: Okay. Thank you.
Operator: And we'll now take a followup question from Edward Atorino with Benchmark.
Q - Edward Atorino: Thanks. Another question on savings. You mentioned $50 million to $70 million, did you say by 2007?
A - Leonard Forman: Yeah. I mean, when you get the full impact of staffing but we will have some staffing continually into, staffing reduction continuing into the first quarter. So, what I was giving you was an apples-to-apples comparison.
Q - Edward Atorino: And you're going to realize about 45 of that in '06?
A - Leonard Forman: Well, 45 million related to a variety of cost savings from process mapping, of which about 1/3 was related to staffing.
Q - Edward Atorino: So how much of the 50 or 70 would come in '06? 50 to 70? The 45?
A - Scott Heekin-Canedy: Hard to give you a tight number, because it really depends on the seniority of people and the timing of when they take it. So, I'm perfectly comfortable with giving you a range at the conclusion. But I'm a little uncomfortable trying to get pin down to given, a given year.
Q - Edward Atorino: I understand. Thank you very much.
Operator: At this time, there are no further questions. I'd like to turn it back to Ms. Mathis for some closing remarks.
Catherine Mathis, Vice President, Corporate Communications: Thank you for joining us today. We appreciate your attention. And if there are any other questions, give me a call. Bye now.
Operator: This does conclude today's conference call. We thank you for your participation, and you may disconnect at this time.